Operator:
Richard Whiteing: Hi everyone. Thanks for joining this Presentation of the Q1 2019 Results. Today's presentation and the other results documents are available as usual on the Investor section of the website if you don't already have them and as always please note the disclaimer at the back. The agenda for this morning is outlined on page 2 and is very familiar with this point. In a moment Steve Collar, President and CEO will present the main business highlights, before handing to Ferdinand Kayser and JP Hemingway the CEOs of SES Video and SES Networks who will cover the main developments in their respective businesses. Andrew Browne, our CFO will then cover the financial results in a bit more detail. After the presentation, there will of course be time to take questions. And so with that I will hand over to Steve.
Steve Collar: Great. Thanks very much Richard and good morning everyone. I'm actually in the U.S. which means it's slightly less of a good morning for me. But nonetheless good to speak to you all. I'm going to talk you through the highlights before handing over to Ferd and JP. Obviously, it's only a couple of months since our last updated the full year end 2018 numbers, so fewer updates this time around as I think you'd probably expect. So, starting on page 4, I'm happy with the start that we've made in 2019. Our Q1 results are in line with our expectations and consistent with the guidance that we gave in February. Revenue of €481 million is fractionally ahead on last year as on an as-reported basis and little over 2% down at constant exchange. Networks continues to grow well which is very positive. Revenues were up almost 9% again in the quarter and this follows on from a year of double-digit growth in 2018.We did have some periodic revenue in Q1 for networks but even with this, revenues were up 5.4% on an underlying basis. And we expect that growth to continue and to develop over the course of the year and that's going to be helped with the recent successful launch of the last four of our first generation of O3b satellites. They will join the constellation and into service in Q3 and that will pave the way for our next generation O3b mPOWER system which we'll be launching in 2021, which we're very excited about. We talked last time about the ongoing reshaping of our organization around our customers in Q1. We brought together all of our engineering resources under common leadership and we've also stood up a common global services team across video and networks. And the next step which will be happening in Q2 will be the bringing together of our video infrastructure and services segments and that should be done by Q3. And again, lots of good momentum coming from those internal organizational changes around our customers. And then lastly on the page we're making good progress on C-bands we're ready to go. We've bottomed out the technical solution and we briefed our customers and I'll speak more to that in a second. So, turning over to page 5, the message is simply that Q1 is in line with our expectation and in line with our guidance for the full year. We're on track pretty much across the page on revenue at this early stage and very much repeatedly stay our outlook for the year. Likewise, we remain fully committed to investment grades and as Andrew will speak we will be at or below 3.3 times by the end of the year. And so then lastly for me on page 6 before Ferd and JP take us through in a little bit more detail, I'm going to speak a little bit to C-band. So, good progress as I said. We provided our customers with a very detailed transition plan and this explains exactly how through the launch of new satellites and the installation of filtering we're going to be able to protect their services while at the same time bringing up important mid-band spectrum for 5G. That's included some exhaustive testing of the filtering and demonstrations of that filtering to our customers and we now start to see our customers becoming much more comfortable with the solutions that we proposed and much more publicly supportive of the plan which is obviously very important because we said all along that protecting our customers is our first priority. You may have seen from the FCC Chairman's adoption of the 5G Fast initiative and his recent meetings with the President on the topics that rapid adoption of 5G in the U.S. is becoming a really key strategic topic. This was reinforced by Commissioner O'Reilly in his comments at The 5G Summit yesterday and essentially he was saying that it's time to action the plans of free mid-band spectrum. And for context as to why that's the case, the CTIA the Wireless Trade Association estimates that 5G services will create over three million jobs and contribute $500 billion to the U.S. economy over the next seven years which is why we're focused on this and the FCC is clearly focused on this. Really pleased that we were able to bring Peter Pitsch on board to the CBA who is leading our Advocacy and Government Affairs and we continue to work hard to align all interest and build consensus in favor of this unique win-win market-based approach. Obviously, the FCC and the Chairman controls the timing. So we are ready to execute and we feel we've made some very important steps over the last few weeks. And with that I'll hand over to Ferd, who is going to talk a little bit more about our video business.
Ferdinand Kayser: Thank you, Steve and starting with the highlights for SES Video on slide 8. In the first quarter of 2019, SES Video generated revenue of €304 million. This represented an underlying decline of 7% which Steve has mentioned was fully in line with our expectations. This included for the first time the impact of the lower revenue from the U.S. wholesale contracts that we mentioned in February and to 7% while in line with the 2019 guidance is not indicative of the expected long-term revenue trajectory. So market conditions remain challenging, but nevertheless, we can point to a number of positives in Q1.So first one is the 6% growth year-on-year for the number of high-definition channels being distributed via our fleet 2818 in total. This is complementing with 34% growth in the commercial Ultra HD channels, where interestingly our biggest UHD region is Europe, where we now serve 20 UHD commercial channels with the most premium contents. The second good news is the annual update of our technical reach, 355 million TV households or over one billion people now rely on SES for their TV signal. We noted reach stability in our core European positions where SES delivers over 60% of all TV distribution in Europe, directly through DTH or indirectly via alternative means including IPTV feeds. In North America, our reach declined slightly, but this is consistent with our long-term view. Yet despite this reduction as Steve mentioned, C-band cable neighborhoods remain the cornerstone of video distribution in the U.S. This is more than offset with the strong growth in our international markets where we reach six million new TV households and where we felt that we have to include Kenya in our analysis as satellite distribution is growing fast in this country and where we are able to identify another two million TV households relying on SES satellites. I'm also pleased to report that although we will reach more people in those international markets, but we also enrich the neighborhoods for this growing audiences with 18% channel growth in those regions. And as a result, to conclude on this point, even if the market conditions can be challenging, we build solid foundations for the long-term revenue streams in those markets. Lastly, our initiatives to combine our video distribution and our video services activities that we mentioned in February, is well underway and progressing well. During the first quarter, we concluded some important contracts. We have mentioned some of those on slide 9, a long-term contract of nine years in North America with the Crown Media Group for the Hallmark Channel portfolio which will be distributed by SES-1 to more than 85 million cable homes in U.S. In Europe, we concluded an important capacity renewal with the Nordics Entertainment Group for Scandinavia. In Africa, besides Nigeria, Ghana and Ivory Coast with Benin, we added another country to the list of the countries for which we are distributing the signal of the digital terrestrial distribution via satellite. In Benin, this means 15 free-to-air channels, some of them in high definition, which are distributed through the digital terrestrial transmitters and which are also available for DTH reception. Individual services area, I should mention the renewal and extension for discovery in Germany. Besides distribution via the prime orbital position 19.2 and each one is going to handle all the playout and content management related activities for seven channels of the Discovery Group in both Germany and Austria and this follows liner and non-liner content. On HD+, I should mention the agreements with Panasonic and Samsung regarding their new TV sets sold in Germany as of this spring, which includes the HD+ software-based conditional access and an operator, allowing the users of HD+ to access various streaming services and comfort functions like catch-up and start over, similar agreements with other TV set manufacturers will follow. So now, moving to the individual video segments in more detail, starting with distribution part on slide 10. Underlying revenue was 8.1% lower than last year. So our U.S. wholesale business is lower than last year based on our recent renewal. In addition, we continue to see some volume reductions in the cable business. In Europe, we now did some slight volume reductions especially with some long-term renewals secured at the end of 2018.In addition; we continue to experience the effect of the expiration of certain capacity contracts signed on a short-term basis as noted in the second half of 2018. And as mentioned before, international markets continues to be challenging but I'm happy to see the effects of our recent wins as the pace of the decline is now much slower than it was the case in 2018. Finally on slide 11, video services were 4.5% lower than last year. HD+ was stable with the sustained number of paid subscribers in Q1 2019 compared to last year. Regarding MX1, revenue was lower as we continue to shift our portfolio and exit certain low margin legacy contracts. This part of the bigger initiative, I have mentioned earlier and will continue and even stronger value proposition and will ensure an even stronger value proposition for our customers who will see greater benefit from the combination of our infrastructure and services capabilities especially in the IP and non-linear video space. And with that, I hand over to JP.
JP Hemingway: Thank you, Ferd and good morning all. So starting with the highlights for SES Networks on slide 13. As Steve said after a great 2018, we continue to deliver solid growth in Q1 2019 with networks delivering 5.4% underlying revenue growth. We reported total revenue of €176 million in the first quarter and we grew across multiple segments including governments, aero, cruise, mobile network operators, and energy. I am also confident our strong results will continue to improve as we increasingly leverage the capabilities of our GEO HTS satellites. SES-15 continues to be a very successful satellite. We are ramping on SES-14 and serve our first customers on SES-12. The value of these GEO assets are further enhancement combined with our unique MEO infrastructure. As you heard, we successfully launched four additional O3b satellites earlier in the month, bringing our total to 20. And with that launch we have now finalized the first and still only broadband NGSO constellation in service since 2014. Fully proving out, our MEO space technology, enabling ground infrastructure, managed high capacity solutions and crucially the business model, marks an inflection point on the journey towards O3b mPOWER, our next-generation MEO system. We've now place the larger dedicated team to match development stage of O3b mPOWER from both the technology and business perspective, increasing our focus on delivering the value of unprecedented flexibility, exponential scale and powerful network performance. So now I'd like to move on to our next slide 14 and take a look at some of our recent customer successes. When I reflect on these activities and what we focus our customer facing teams on is the incredibly broader positive impact that we're having in our customers' businesses and indeed their end users. In Indonesia, we are working with Teleglobal to connect communities across many remote areas of the country with high performance cellular and broadband services from SES-12. A perfect example of our satellite solutions can quickly deliver where conventional terrestrial based networks may take far longer and be cost prohibitive to deploy, reaching in this case to over 15,000 sites. In the industrial energy sector, low latency connectivity is a requirement for digitizing real-time operations, which makes our MEO low latency, a logical solution. We have recently helped our customer resolute mining to fully digitize our remote mine in Mali to improve the safety and productivity of their operations, whilst also allowing them to capitalize on enterprise cloud applications, which is game changing to their business. We're also proud to support the launch of an entirely new concept in the maritime market the Ritz-Carlton Yacht Collection. With a high end digital experience powered by SES Networks Ritz-Carlton is aiming to deliver its guests a highly curated luxury experiences seen enabled by our managed data services and delivered over an intelligent hybrid MEO/GEO network solution. We continue to report key new wins in this sector announced our select innovation partnership with Carnival and also started take project revenues from previous wins such as MSC Cruises. And we continued our progress in the public sector with The European Maritime Safety Agency or EMSA, for whom we are delivering high-performance managed service to naval security safety and anti-pollution surveillance operations by connecting remotely piloted aircraft systems. So now I'll just flip through the individual vertical performance starting with Governments on slide 15. We are reporting nearly 10% underlying growth in the first quarter compared to last year, with positive developments in our two government segments. First with the U.S. Government, where MEO solutions are now quickly deployed on-demand through the blanket purchase agreement and we also saw growth in a number of GEO-based programs. And then with our global government business, which included positive contribution across all of our portfolio including GovSAT-1, the continued momentum in supporting critical humanitarian operations and our institutional programs. Moving on to Fixed Data on slide 16. In a challenging environment Fixed Data was slightly down in Q1 2019 by just over 1% overall a result, which we still believe is a robust performance and reflects some project timing aspects. We continue to report new commercial successes will telcos and mobile network operators especially in the Americas as we discussed earlier starting to take leverage of SES-12 across Asia. Finally, in Mobility on slide 17, we continued to deliver in Q1 another strong quarter with nearly 9% underlying growth. Aero continues to be significant driver of growth, specifically with the ramp of SES-14 - sorry - SES-15 and the adoption of SES-14 and indeed our KA based Aero network, which enabled expansion with our service provider partners to airlines across the Americas. In maritime, our strong position in Cruise continue to be strong. We start to see the contribution of recent wins, expand on others and continue to add new brands and confirm the important ongoing growth potential of this segment. So in summary, 2019 is developing as per our expectations. The addition of SES-12 the ramp of SES-15 and SES-14 and the entry into commercial service of the new block of O3b satellites all will continue to support our growth. Calculating this industry-leading fleet, we are continuing to develop our intelligent network capabilities, cloud integration and managed service solutions so we can continue to deliver differentiated offerings that bring meaningful business value to our customers. And with that, I'll hand over to Andrew.
Andrew Browne: Thanks very much, JP. Good morning, ladies and gentlemen. So financial highlights turning to page 19. As Steve has mentioned, we delivered a solid performance in line with expectations and we remained on track to beat 2019 financial outlook as we indeed accomplished in 2018. Revenue for the quarter was €480.6 million, with underlying revenue lower by 3.1%, when networks generated underlying growth of 5.4%. On a reported basis revenue was 0.6% higher with the benefit of the stronger U.S. dollar. At constant FX, total revenue including periodic and other was 2.3% lower than the prior year. EBITDA of €290.1 million represented an EBITDA margin of 60.4% or 62.1%, when excluding the €8.3 million restructuring charge that we have provided for. We continue to invest in expanding our network business and this led to an increase in OpEx of €7.1 million at a constant basis when excluding the net impact of restructuring cost delta of €3.3 million compared to Q1 last year. While combined movement in revenue will consequently see EBITDA of 4.7% lower as reported and 7% at constant FX. Net profit of €72.2 million compared with €98.2 million last year and essentially following the trend in EBITDA with additional depreciation related to do satellites been brought into service. Free cash flow before financing of €84.3 million benefits from the 31.7% reduction in investing activities compared with the Q1 of last year and somewhat offset by working capital timely movement in the quarter. Net debt-to-EBITDA was 3.4 times compared with 3.41 times at Q1 2018, so slightly lower. This reflects a similar payment phasing as last year with a significant portion of cash outflow for CapEx, interest and the dividend being weighed in the first half of the year. Accordingly, we expect to achieve below 3.3 times at the end of the year and in line with our commitment to investment grade status. Finally, there's no change to the financials outlook and also included the CapEx forecast. Revenues so turning quickly now to the remaining pages and starting with revenue in page 20, the change in FX as you can see accounted for a positive €14.5 million of the total movement on a reported basis. At constant FX, the underlying business was €15.1 million or 3.1% lower reflecting the growth in networks as expected Video development as Ferdinand just discussed a little earlier. Total revenue included €6.7 million of periodic and other revenue compared with €3.1 million in Q1 2018. Turning to EBITDA to page 21. EBITDA was 4.7% lower as reported and 7% lower adjusting for the change in FX. As mentioned in our previous calls, the investment in the networks is the main driver of the increase of underlying OpEx as the business continues to grow. In addition, we booked €8.3 million of restructuring charge as part of our ongoing program to optimize our overall operating structure and operations across the Group. The quarterly EBITDA margin was 60.3% and excluding the charge 62.1%. Net profit on page 22 was €72.2 million for the quarter. Depreciation was higher reflecting the entry into service of new satellites, as already mentioned and clearly a lower net interest expense. Net financing costs were in line with the prior year and benefited from higher levels of capitalized interest. We recorded €7.2 million as a tax charge in Q1 2019 representing an effective tax rate of 9.6% and some gains in non-controlling interest €4 million. These two line items were affected in Q1 2018 by a deferred tax asset related to the entry into service of the GovSAT-1 satellite that we own in partnership with the Luxembourg government. CapEx on page 23 as already mentioned there is no change compared to what we outlined in February. Turning to page 24 on leverage development net debt-to-EBITDA down to 3.4 times and as mentioned in this compares to 3.41 times in the same period last year. We expect 2019 to follow the same quarterly trend in 2018 and accordingly we expect to be below 3.3 times by the end of the year in line with our commitment to investment grade status. In March we repaid 500 million U.S. bond and using proceeds from the Schuldschein, we completed in Q4 last year and with no further senior debt instruments maturing now until March of 2020. Lastly, on page 25, financial outlook and as Steve and myself have discussed, does not change the outlook that we presented in February and we are currently on track to deliver on 2019 as we did in 2018. And just reminding everyone, the 2019 EBITDA outlook excludes the €25 million to €30 million of restructuring charges as we had outlined in February. So overall, expectation it is expected to deliver growth in revenue and EBITDA between 2018 and 2020. So with that I would conclude and hand back to Richard for, yeah, opening on for some questions.
Richard Whiteing: Thanks, Andrew and thanks team. So open to questions.
Operator: [Operator Instructions] Your first question comes from the line of Sami Kassab from Exane. Please ask your question. Your line is now open.
Sami Kassab: Good morning, gentlemen. It's Sami at Exane. I have three questions please. The first one, can you elaborate on the return to revenue growth in fixed data in the remainder of this year? You referred to timing, does this mean we should expect the Networks division to see an acceleration in the revenue growth from the 5% reported in Q1? Secondly, within the Networks division, can you break down the 5% growth between pricing and volumes? Consultants are talking about a 15% price decline in 2019. Can you give some color on how pricing and volumes are trending? And lastly on C-band, do you expect the U.S. Treasury to take a cut on C-band proceed as it did in 2017 with the broadcaster auction? Thank you. 
JP Hemingway: Okay. So maybe I will take the first two questions in relation to -- I think both in terms of fixed data and certain networks. So the first one around the Q1 performance and the return to revenue in fixed data, I've mentioned timing. So indeed, there's been some challenges that we see in the market growing the business there. It is a very, very competitive market. But we, as I highlighted, have won some significant opportunities. We talked about one you're seeing with Teleglobal. The timing part of this is when you win those deals, obviously, it takes a while to get the equipment installations and therefore service revenues underway. So when we get those projects delivered and service revenues underway, we do expect to return back to the low-single digit growth that we outlined in our previous outlook for the fixed data. In terms of general -- I think, the second question was in general around networks or in the fixed data. But, overall, yes, pricing is obviously under pressure, but we maintain a differentiated service offering. Certainly, in some of the segments we were showing significant growth with government and mobility, we have very differentiated offering. But to offset that pricing decline, when we see it, because we do have differentiated offering, we are seeing significant growth in both volumes and new customers, which is ultimately the most important thing.
Sami Kassab: And so, we expect the networks division to see an acceleration in revenue growth in the remainder of the year? Or is it too early to say?
JP Hemingway: It's, obviously, early in the year, but we do anticipate growth through the entire year. So, obviously, the 1% year-on-year in Q1 down is not where we expect to end the year.
Sami Kassab: Thank you John-Paul.
Steve Collar: And Sami, I'll take the C-band question. Look, I mean, we've been fairly clear about not speculating too much about proceeds, either from the perspective content or what we would do, or what have you. And I would kind of give the same response, frankly, on would we expect the Treasury to take a cut, as you put it. I mean, clearly, whatever proceeds there are, we're going to pay tax on. I think, over and above that what we've said is, this is a market-based proposal and it's the kind of -- the name implies the expectation in terms of why this makes logical sense and I think if we reflect on the bigger goal here, which is 5G fast in the U.S., that's where at least we're seeing the administration to be focused right now.
Sami Kassab: Thank you, Steve.
Operator: Thank you. And your next question comes from the line of Aleksander Peterc from Societe Generale. Please ask your question. Your line now open.
Aleksander Peterc: Yes. Good morning and thanks for taking my question. I'd like to revert a little bit to video. Can you help us to best understand the underlying like-for-like trajectory of declines in the video distribution. We've seen a steady worsening in declines over the past two years, from low-single digits declines in 2017 to mid-single-digit declines in 2018 and now at high-single-digits, that's nearly minus 9. Now I understand you had some pretty tough renewals coming through in the second half and that leads to the current declines, but can you make us or help us understand how we should get to more moderate declines in the remainder of the year? What are the levers behind this and should we actually model low single-digit declines in some future in this business?
Ferdinand Kayser: Yes. First of all, I've mentioned, so the decline we have, combination of factors we have had in North America, with the reduction of the wholesale business we have had there and some switch-off of SD channels in the cable business, as these were channels which has been simulcasted. On the other hand, also, some factors coming in from Europe, so some slight volume reductions, referring to renewals which were concluded at the end of last year. And on the other hand, I should also mention that, there are no significant renewals on the agenda for the next couple of years. So total renewals of the -- represent less than 5% of the revenues in both 2019 and 2020 and so the minus 8 should not be considered as indicative of the kind of long-term trend in video.
Aleksander Peterc: Okay. Thank you.
Operator: Thank you. And your next question comes from the line of Nick Dempsey from Barclays. Please ask your question. Your line is now open.
Nick Dempsey: Hi. Yeah, good morning guys. I've got three left. First of all, restructuring you talked about €25 million to €30 million for the year. I think you said it will be first half weighted in the full year results, you're done eight point something in Q1, so just over a quarter of that. Should we expect a big number in Q2 for restructuring and therefore low number for the margin? Second question, how much more revenue is there sitting in video services that is the low margin contracts that you're casting loose? And when can we expect to see the end of that effect within your video growth? And last question on the C-band, I suppose the market is expecting a delay beyond Q2, you guys last time we asked you, you said Q2 will be when the decision would come. Do you now expect a delay?
Andrew Browne: Nick, yeah, this is Andrew. Just on your first question indeed that will be the case. We would expect by the half year to have approximately 70% to 80% of the restructuring cost. So indeed your hypothesis is correct.
Ferdinand Kayser: So on the video services indeed we are not renewing business in particular business with a low margin in which we had factor in third-party capacity and this is an exercise which we will continue during the months to come. But it has been kind of a strategic decision both because of the low margin and third-party capacity we are reselling here to get out of those contracts.
Steve Collar: And Nick I'll take the question on the C-band, so locally this is a pretty complex proceeding and the Chairman was on record relatively recently of saying, he's focused on getting it right and we're focused on that as well. Speed to 5G is pretty critically important and a pretty key part of that and what we're focused on is making sure that we're ready to go. And I think that's underscored by the good work we've done on the technical side worked with our customers' sort of and building consensus around a plan. Ultimately, the FCC and the Chairman controls the timing so they are better placed to answer that. I think sitting where we are Q2 seems unrealistic. But again I wouldn't speculate much beyond that. What is clear is that there's a lot of focus on this and increasing focus and I think that's good news with respect to the market based proposal.
Nick Dempsey: Thank you.
Operator: Thank you. And your next question comes from the line of Michael Bishop from Goldman Sachs. Please ask your question. Your line is now open.
Michael Bishop : Thank you. Good morning. I just had two questions. First was a follow-on on video. I mean, there is clearly a lot of moving parts, and it sounds like versus your sort of average renewal rate over the last say five years of 10% you've got quite a low renewal rate going forward. So really what I wanted to ask was, does -- has that come around because you pulled forward some of the renewals or customers have? And then secondly, I was wondering, if you could give us a bit more detail on the renewals in Q4, and then also the Nordic renewals in terms of the price and volume dynamics? And then just a quick follow-up on C-band. Clearly, you've done a lot of work on the technical side, and it sounds like, you've been really winning over your customers. So does that change your view at all in the long run around ever going beyond the 200 megahertz that's proposed in the feasibility? Thanks very much.
Ferdinand Kayser: So on the renewals in video as a very high proportion of our contracts are long-term contracts, we have a very good visibility, and there are years in which major renewal is up with major customers. And then there are years during which indeed the overall percentage of the business to be renewed is substantially reduced. And we have had important year with very important renewals in 2015, 2016 and 2017 and now 2018 was kind of medium. And 2019, 2020 as I mentioned, renewals represent less than 5% of the total business. Now indeed last year, there were some renewals towards the end of the year, which resulted, one, in the U.K. in a kind different mix of capacity, a different combination between high-power and medium-power capacity, which resulted in slight price reduction as when there was a lower volume reduction factored in in the contract because the Pay-TV operator decided to reduce the number of channels. But all this is manageable, and of course given the high prices we have in Europe. There is a slight variance this has, and in kind of impacts which we see in the figures.
Michael Bishop : Can I just follow-up on the Nordic renewal as well?
Ferdinand Kayser: Yes. The Nordic renewals, so the Nordic Entertainment Group is in fact the follow-on company of the former MTG, and this business has been split. So the Nordic Entertainment Group is covering or continues to cover Scandinavia, and then there is another entity covering the Baltics. And here on the Nordic Entertainment Group, the renewal has been done on the medium-term for more or less the same volume of capacity.
Michael Bishop : And the price?
Ferdinand Kayser: And the price is stable.
Michael Bishop : Okay. Yeah. Thanks very much.
Steve Collar: Michael, I'll take the C-band -- so look I mean our proposal, as you know, is very clear 200 megahertz cleared within 36 months. And actually you know having the support of our customers is very much consistent with having a very clear and definitive plan around that. And actually, we don't have a plan and don't have the ability to execute on sort of spectrum clearing beyond that. Now, if we look at five, seven years in the development of HEVC and different technology then, who knows, but essentially to get clear 9 to 200 megahertz cleared for C-band in the next 18 to 36 months, it's absolutely important that we're focused on this 200 megahertz clearing and nothing beyond.
Michael Bishop : Thanks. That’s really clear.
Operator: Thank you. And your next question comes from the line of Sarah Simon from Berenberg. Please state your question. Your line is now open.
Sarah Simon: Hi. I've got three questions. And they're all about video. So first one was you talked about bringing MX-1 closer to the distribution business. So are you likely to combine those segments in future or, are you going to continue to report them separately, because obviously, if they're more entwined, it's going to be harder to kind of separate. Second one just, so we can get an idea of the quantum. Can you to give us an idea of the proportion of your video revenues that you think are in these kind of shorter term capacity contracts rather than the long-term, because obviously you've highlighted the issues in Europe, but just to get an idea of how big that sort of short-term bit it is. And then the last one was with the phasing out of the low margin MX-1 revenues. Are you phasing out those revenues kind of simultaneous with the ending of the third party capacity deals that you've signed to deliver those revenues? Or is there going to be a mismatch there? Thanks.
Ferdinand Kayser: Thanks for the questions. So, on the first one indeed, it is about combining the distribution activities with the services activities, because we realized that customers want contracts and want combined offer. And in particular, in the international markets where the pricing is highly competitive, it is important to have this kind of differentiator as a kind of competitive advantage. On the proportion of the short-term contract, so basically the vast majority of the contract and it is more than 95% are long-term contracts. The short-term contracts is occasional use and sports and events and this is an -- definitely a quite smaller part of the business less than 5%. It's developing an interesting dynamic in particular in sports and events where we see very interesting developments representing certain potential. And on your third phasing -- the phasing out of the year low margin capacity has been linked through or for most of them to the surpassing capacity deals, which we do not want to renew and which we reverse when they come out on for renewal.
Sarah Simon: Okay, perfect. Thanks very much.
Operator: Thank you. And your next question comes from the line of Paul Sidney from Credit Suisse. Please ask your question. Your line is now open.
Paul Sidney: Yes, thank you very much. Good morning everyone. I just had a couple of questions one on video and one on C-band. Just on video really just trying to bring together a lot of the questions that we've already have. I mean is the right way to think about it we should see clearly there is drag from North American wholesale in 2020 versus 2019 in their renewals for two years as you've said. So clearly, just mechanically from an easier comp, 2020 should see better revenue trends in video than 2019. So firstly, is that correct? And actually, we used to talking about the headwinds in video, but is there anything that actually could go positively over the next few years? I mean, we used to talk at length about Ultra HD on the call and seems as though it's not something that we really -- that's being discussed. But just wondering if there is anything that could go well in that sector? And then on C-band Steve, just a follow-up the SEC has been sitting on this now for more than a year. What do you think is a big debate? Is it the actual principal of the proposal or is it really about process and value? Thank you.
Ferdinand Kayser: So on the trends in video as mentioned before, the minus 7% should not be considered as indicative of the longer-term revenue trajectory given also the visibility we have. On the positive side, what we see now is a good development of the number of ultra HD channels. As mentioned before, we have now 43 commercial channels. And when we see -- when we say commercial channels, we exclude the demo channels or test channels. So these are commercial channels, 43 commercial channels on air out of which 20 in Europe and we have additional ones in the pipeline. This is definitely an area in which we will see positive development this year and during the years to come.
Steve Collar: Yes look and on C-band I wouldn't necessarily characterize it as having been sitting on it for a year. I think firstly, the SEC is I think made more spectrum available in auction more spectrum over the last year in different bands than sort of in any previous administration and we certainly see them being very sort of committed to doing that and the general development of the 5G ecosystem. I think with the mid band they've gone through the MTRM process. It's obviously a little more complex than simply identifying other parts of spectrum and auctioning it right it's -- this spectrum is in use and there is a lot of work that has to be done to sort of free it up to make it available. And so it's. There is more hair on -- it's more challenging than simply moving forward on the sale process. I do think that what we've seen over the last month or two suggests that this strategic importance is now recognized and is increasing and my hope and expectation is that we'll see this moving forward over the course of the next few weeks and months.
Paul Sidney: Great, thank you. Maybe I could -- I just have a quick follow-up on Ultra HD. Is there any projections you have in terms of the number of global channels or number of channels you expect to be delivering over the next few years, just be interesting to get your view on that?
Ferdinand Kayser: No we do not have a real projection to communicate to outside. Also given the competition -- the competitive situation we have vis-a-vis our operators.
Paul Sidney: Okay understood. Thanks very much.
Operator: Thank you. And we will now take our last question. It comes from the line of Patrick Wellington from Morgan Stanley. Please your question. Your line is now open.
Patrick Wellington: Yeah. Good morning, everybody. A couple of questions. Steve, the -- on C-band, the FCC has indicated quite a long time as you were saying before sort of in June start decision, you think that's a bit optimistic. So what are we talking about? Are we talking about an end-September decision or do you think it gets delayed beyond that? If you think in June it's not happening, what's your sort of scale of the sideways shift there? And then secondly Intelsat 29e, do you get a benefit from that in terms of capacity shifting over to some of your satellite capacity?
Steve Collar: Yes, I mean, Patrick, I pretty much said what I have to say on timing. It is the FCC and the chairman who gets to dictate the timing. My comment on Q2 is simply we don't necessarily see a report and order the activity that would suggest a report and order coming out in the next two months, but who knows we could be surprised. I do think you know what we do see is renewed to the extent that it -- that it was not there, but renewed focus on the band, renewed focus on C-band and a lot of steps being taken both with the FCC, but also with all of the other stakeholders cable, our customers you know, all of the parties that are kind of involved in this process, we see things moving and that's sort of positive and definitely we have momentum. So, yeah, I mean, more than that wouldn't want to speculate on timing. It's obviously not for us. I think the important thing is that we're ready to go and that we have a plan that's fully executable and that's what we can control and that's very much the case. And then on I-29e, look I mean, so first of all, I'd say no failures in the industry is a good thing. And we actually have a very good and strong relationship with Intelsat around sort of mutual backup and protection and that is something that we've been working with them to help them as they kind of go through looking to restore customers that they have.
Patrick Wellington: Great. Thank you.
Operator: Thank you. And we have one last question. It comes from the line of Giles Thorne from Jefferies. Please your question. Your line is now open.
Giles Thorne: Thank you. And it was -- two final questions, both on C-band. And I guess there're interrelated. So turning away from -- well, let me just ask the question directly. Given this past few weeks and past few months have seen a real pickup in the noise around the C-band situation and with an increasingly divergent range of views on this particular matter, it feels that the FCC like any regulator is ultimately going to have to try and be pragmatic in their approach and bring forward something that caters to everyone's taste. So my question is, it would be useful to get a reminder of what the CBA's red lines are. So if when that order comes through -- and I don't think there's a debate about -- if -- it's when it comes through what would make you walk away? And then secondly connected to that, could you remind us please on how you and Intelsat reconcile your views on opportunity cost given your dramatically differing financial positions? Thank you.
Steve Collar: Giles, I'm not quite sure how to answer either of those questions, but I'll give it a go. So, look, I actually think what we've seen over the last few months is a pretty healthy debate, right, and some views that are held for good reasons. Some other views that I think are probably more influenced by competitive situation and so on. But I think there is some very real things that have to get sort of sold through this market based proposal. But actually I don't see as much noise in characterizing it the way that you did over the last four or six weeks. It maybe was the case at the beginning of the year or the back end of last year. And that's really reflecting my comments earlier, where I said, I think we are making good progress in bringing together and addressing the myriad concerns that there are right there. And I think that's a good thing. And so, I feel like we have some good positive momentum. I think the CBA is doing a good job. I think that Peter coming on Board has been very positive. And so, I don't necessarily see noise. I actually think that we're kind of aligning. And I think we'll see more of that. I certainly hope we'll see more of that over the coming weeks and then, you said how do, I reconcile the view with Intelsat about what Giles just...
Q – Giles Thorne: Yeah, sorry it's -- forgive the overly convoluted wording. But Intelsat and SES are two business with very different financial positions. And if an order comes through that is a deviation from the wording in the letter of the CBA proposal, it might be hypothetically that you think "Yeah, I'm okay with that" and then it might be that Intelsat things "Oh! I can't work with that because I've got my own agenda." So, can you remind us of how those differing agendas, different view on opportunity cost have been reconciled through the agreement that you have around the constitution of the CBA?
A – Steve Collar: Well, you know, what I'd say again to that is we haven't seen any of that right? So the CBA has been very united from the very beginning. And this higher goal of how do we collectively protect our customers, but at the same time free up spectrum which is clearly important and clearly a strategic need within the U.S and not only ourselves and Intelsat but also Eutelsat and Telesat have all been of the same mind on pretty much every topic. And so, we haven't really seen, Giles, any difference of view, whether it'd be relating to our financial positions or anything else. And long may that continue. I think it's a really, really unique example of the satellite industry coming together. And the four main players, the four plays in the U.S. coming together. And sort of agreeing on the best way to sort of succeed in those two what you would think would be mutually incompatible things to do i.e. looking after our customers and also freeing up spectrum for propitiatory use. So, we don't see any of that. And long may that continue.
Q – Giles Thorne: Thank you, Steve. And a follow-up to the first question and it's a closed question. If an FCC order comes forward in the next few months. That is in spirit, the CBA proposal but not the exact form, if there is some kind of permutation or derivation of the CBA proposal not the exact CBA proposal, does the CBA walk away?
A – Steve Collar: No. Look I mean, again, not going to engage language like walk away Giles. This is a serious process right, where we're trying to look after the interest of multiple stakeholders. We're speaking with the FCC. The various different bodies within the FCC on a regular basis as you see from our ex parte filings. And so, by definition, kind of how this could go, and how do we make sure we're looking after the interest of everybody. If something that's happening through those conversations, and I wouldn't foresee what you've just described ever happening. Because, I think we would you know have had those conversations through the process of the engagements that are ongoing with the various different stakeholders as we go.
Q – Giles Thorne: Understood, thank you very much.
Steve Collar: Well, maybe I'll just close that and by saying thanks very much everyone for joining. And we look forward to speaking to you all on our Q2 results at the time. So thanks very much for taking the time to join.